Operator: Greetings, and welcome to SiteOne Landscape Supply, Inc. Fourth Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Eric Elema, Chief Financial Officer. Thank you. Please begin.
Eric Elema: Thank you, and good morning, everyone. We issued our fourth quarter and full year 2025 earnings press release this morning and posted a slide presentation to the Investor Relations portion of our website at investors.siteone.com. I am joined today by Doug Black, our Chairman and Chief Executive Officer; and Scott Salmon, EVP, Strategy and Development. Before we begin, I would like to remind everyone that today's press release, slide presentation and the statements made during this call include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. Such risks and uncertainties include the factors set forth in the earnings release and in our filings with the Securities and Exchange Commission. Additionally, during today's call, we will discuss non-GAAP measures, which we believe can be useful in evaluating our performance. A reconciliation of these measures can be found in our earnings release and in the slide presentation. I would now like to turn the call over to Doug Black.
Doug Black: Thanks, Eric. Good morning and thank you for joining us today. We are pleased to deliver solid results in the fourth quarter with 3% net sales growth, 2% Organic Daily Sales and 18% growth in adjusted EBITDA versus the prior year period, closing out a good year of performance and growth in 2025. For the full year 2025, we achieved 4% net sales growth, 1% Organic Daily Sales growth and 10% growth in adjusted EBITDA despite flat pricing and lower end market demand compared to 2024. As we enter 2026, we have solid momentum with the benefit of positive pricing, coupled with the strong cost reduction actions that we took in 2025, including 20 branch consolidations and closures during the fourth quarter. Our teams are executing our commercial and operational initiatives at a high level, and we expect to benefit from the 8 acquisitions that we completed in 2025, along with our first acquisition completed in 2026. While there continues to be end market uncertainty, we enter 2026 with stronger teams, a more cost-effective branch network, good momentum with our commercial and operational initiatives and a robust pipeline of potential acquisitions. Accordingly, we remain confident in our ability to deliver superior value to our customers and suppliers and achieve solid performance and growth for our shareholders in 2026 and in the years to come. I will start today's call with a brief review of our unique market position and our strategy, followed by highlights from 2025. Eric Elema, who was recently appointed Chief Financial Officer, will then walk you through our fourth quarter and full year financial results in more detail and provide an update on our balance sheet and liquidity position. Scott Salmon will discuss our acquisition strategy, and then I will come back to address our outlook and guidance for 2026 before taking your questions. As shown on Slide 4 of the earnings presentation, we have a strong footprint of more than 670 branches and 5 distribution centers across 45 U.S. states and 5 Canadian provinces. We are the clear industry leader, approximately three times the size of our nearest competitor, yet we estimate that we only have about a 19% share of the very fragmented $25 billion wholesale landscaping products distribution market. Accordingly, our long-term opportunity to grow and gain market share remains significant. We have a balanced mix of business with 66% focused on maintenance, repair and upgrade, 20% focused on new residential construction and 14% on new commercial and recreational construction. As the only national full product line wholesale distributor in the market, we also have an excellent balance across our product lines as well as geographically. Our strategy to fill in our product lines across the U.S. and Canada, both organically and through acquisition, further strengthens this balance over time. Overall, our end market mix, broad product portfolio and geographic coverage offer us multiple avenues to grow and create value for our customers and suppliers while providing important resilience in softer markets. Turning to Slide 5. Our strategy is to leverage the scale, resources, functional talent and capabilities that we have as the largest company in our industry, all in support of our talented, experienced and entrepreneurial local teams to consistently deliver superior value to our customers and suppliers. We have come a long way in building SiteOne and executing our strategy, but have more work to do as we develop into a world-class company. Current challenging market conditions require us to adopt new processes and technologies faster and to be even more intentional in driving organic growth, improving our productivity and mastering the unique aspects of each of our product lines. Accordingly, we remain highly focused on our commercial and operational initiatives to overcome near-term headwinds, but more importantly, to build a long-term competitive advantage for all our stakeholders. These initiatives are complemented by our acquisition strategy, which fills in our product portfolio, moves us into new geographic markets and adds terrific new talent to SiteOne. Taken all together, we expect our strategy to create superior value for our shareholders through organic growth, acquisition growth and EBITDA margin expansion. On Slide 6, you can see our strong track record of performance and growth over the last 10 years with consistent organic and acquisition growth. From an adjusted EBITDA margin perspective, we benefited from the extraordinary price realization due to rapid inflation in commodity products during 2021 and 2022. In 2023 and 2024, we experienced significant headwinds as commodity prices came down. In 2024, we also experienced further adjusted EBITDA dilution from the acquisition of Pioneer, a large turnaround opportunity with great strategic fit and from our other focused branches, which resulted from the post-COVID market headwinds. Over the past 2 years, our pricing transitioned from negative 3% in 2024 to flat in 2025, and we anticipate that pricing will be up 1% to 3% in 2026. Furthermore, we achieved excellent progress with Pioneer and our other focus branches in 2025 and expect to continue achieving improvements over the next several years as we bring their performance up to the SiteOne average. In summary, we expect to drive continued adjusted EBITDA margin improvement in 2026 and beyond as we execute our initiatives and as the market headwinds slowly turn to tailwinds. We have now completed 107 acquisitions across all product lines since the start of 2014, adding approximately $2.1 billion in trailing 12-month sales to SiteOne, which demonstrates the strength and durability of our acquisition strategy. These companies expand our product line capabilities and strengthen SiteOne with excellent talent and new ideas for performance and growth. Our pipeline of potential deals remains robust, and we expect to continue adding and integrating more companies in 2026 to support our growth. Given the fragmented nature of our industry and our current market share, we believe that we have a significant opportunity to continue growing through acquisition for many years to come. Slide 7 shows the long runway we have ahead in filling in our product portfolio, which we aim to do primarily through acquisition, especially in the nursery, hardscapes and landscape supplies categories. We're well connected with the best companies in our industry and expect to continue filling in these markets systematically over the next decade. I will now discuss some of our full year 2025 performance highlights as shown on Slide 8. We achieved 4% net sales growth in 2025 with an Organic Daily Sales increase of 1%. Organic Sales volume grew 1% during the year as our teams continued to gain market share, which more than offset the decline in our end markets. As I mentioned, pricing was flat in 2025, which was a significant improvement from the 3% decline we experienced in 2024. Pricing was up 2% in the fourth quarter and with most of the commodity product deflation behind us, we expect that trend to continue into 2026, supporting stronger Organic Daily Sales growth. Gross profit for 2025 increased 5% and gross margin increased 40 basis points to 34.8%. The increase in gross margin was driven by improved price realization, benefits from our commercial initiatives and a positive contribution from acquisitions, partially offset by higher freight and logistics costs to support our growth, including the establishment of our fifth distribution center during the fourth quarter. SG&A as a percentage of net sales decreased 40 basis points to 30.1% as our strong actions to reduce SG&A in the base business were partially offset by the addition of acquisitions with higher operating costs. SG&A for the base business decreased 50 basis points compared to 2024 on an adjusted EBITDA basis as we continue to optimize our branch network, reduce our net customer delivery expense and closely manage labor and expenses in relation to sales volume. We reduced the cost of our branch network further in the fourth quarter and expect to continue achieving SG&A leverage in 2026. Adjusted EBITDA in 2025 increased 10% year-over-year to $414.2 million, and adjusted EBITDA margin for the year improved 50 basis points to 8.8%, reflecting positive Organic Daily Sales growth, gross margin improvement, solid operating leverage and good contributions from acquisitions. Given the challenging markets, we were pleased to achieve solid adjusted EBITDA margin expansion and expect to continue driving our EBITDA margins toward our longer-term objectives in the coming years. In terms of initiatives, our teams are executing specific actions to improve our customer experience, accelerate organic growth, expand gross margin and increase SG&A leverage. For gross margin improvement, we continue to increase sales with our small customers faster than our company average, drive growth in our private label brands and improve inbound freight costs through our transportation management system. These initiatives not only improve our gross margin, but also add to our organic growth as we gain market share in the small customer segment as well as across product lines with our private label brands like LESCO, Pro-Trade, Solstice Stone and Portfolio. In 2025, we increased our mix of private label products by over 100 basis points from 14% to 15% of total sales. To further drive organic growth, we increased our percentage of bilingual branches from 62% of branches to 67% of branches, while executing Hispanic marketing programs to create awareness among this important customer segment. We're also making great progress with our sales force productivity as we leverage our CRM and establish more disciplined revenue-generating habits and processes among our inside sales associates and our over 600 outside sales associates. Our digital initiative with siteone.com is also helping us drive Organic Daily Sales growth as our results have shown that customers who are engaged with us digitally grow significantly faster than those who are not. In 2025, we increased digital sales by over 120% while adding thousands of new regular users. Siteone.com helps customers be more efficient and helps us increase market share while making our associates more productive, a true win-win-win. Through siteone.com and our other digital tools, we are accelerating organic growth, and we believe we are outperforming the market. With the benefit of DispatchTrack, which allows us to more closely manage our customer delivery, we improved both associate and equipment efficiency for delivery in 2025, while more consistently pricing this service. As a result, we reduced our net delivery expense by over 40 basis points on delivered sales, which represents approximately 1/3 of our total sales. This is a major initiative, and we expect to make significant progress again in 2026 and over the next 2 to 3 years. In 2025, we focused intensely on our underperforming branches or focus branches to ensure that they have the right teams, the right support and are executing our best practices to bring their performance up to or above the SiteOne average. We were pleased to achieve an over 200 basis point improvement in the adjusted EBITDA margin of our focus branches in 2025. Going forward, we expect to gain a meaningful adjusted EBITDA margin lift for SiteOne in the coming years as we continue to improve the performance of these branches. Further progress in 2026 in the face of continued soft markets, we consolidated and closed 20 branches in the fourth quarter of 2025 and plan to serve existing customers through our remaining branch network at a lower cost. Taken all together, we executed well in 2025 and are gaining momentum with our commercial and operational initiatives to drive organic growth, increase gross margin and achieve operating leverage in 2026 and beyond. On the acquisition front, as I mentioned, we added 8 companies to our family in 2025 with approximately $55 million in trailing 12-month sales added to SiteOne. With the market uncertainty and with all our acquisitions being small, 2025 was a lighter year than typical in terms of acquired revenue. Given our current backlog and discussions, we expect 2026 to be a more typical year in terms of average deal size. With an experienced acquisition team, broad and deep relationships with the best companies, strong balance sheet and an exceptional reputation as the acquirer of choice, we remain well positioned to grow consistently through acquisition for many years in the very fragmented wholesale landscape supply distribution market. In summary, our teams did a good job in 2025, managing through the headwinds, executing our strategy, leveraging our breadth of commercial and operational initiatives and creating momentum as we move into 2026. After 3 years with no price benefit, we are pleased to be entering 2026 with positive pricing, and we are confident in our ability to continue outperforming the market and expanding our adjusted EBITDA margin as we grow. We are excited about our future, and we continue to build our company and deliver superior value for our customers, suppliers and shareholders for the long term. Now Eric will walk you through the quarter and full year in more detail. Eric?
Eric Elema: Thanks, Doug. I'll begin on Slides 9 and 10 with some highlights of our fourth quarter and full year results. We reported an increase in net sales of 3% to $1.05 billion for the fourth quarter and an increase of 4% to $4.7 billion for fiscal year 2025. There were 61 selling days in the fourth quarter and 252 selling days in fiscal year 2025. Both were the same number of selling days as the prior year periods. In fiscal year 2026, we have an extra week, which will result in an increase to 256 selling days. Unfortunately, as Doug will describe in our outlook, the additional 4 days of sales occur at the end of fiscal December when there is little landscaping activity, which we expect will result in a $4 million to $5 million EBITDA headwind for the 2026 fiscal year. Organic Daily Sales increased 2% in the fourth quarter compared to the prior year, driven by improved pricing, our sales initiatives and solid demand in the maintenance end market, especially for ice melt products. For the full year, Organic Daily Sales increased 1% due to steady growth in the maintenance end market and execution of our sales initiatives, partially offset by softer demand in the new residential construction and repair and upgrade end markets. Price increases contributed 2% to Organic Daily Sales growth this quarter. Price increases due in part to tariffs have now more than offset the price decreases we are experiencing with select commodity products. We have positive pricing in almost all categories, while commodity products like grass seed and PVC pipe, which were down 12% and 10%, respectively, this quarter, are becoming less of a headwind. For the full year, we estimate the pricing impact on 2025 Organic Daily Sales was negligible compared to the 2024 fiscal year as deflationary impacts earlier in the year were offset by modest price inflation in the second half. Our current outlook for 2026 is for prices to increase by 1% to 3% Organic Daily Sales for agronomic products, which includes fertilizer, control products, ice melt and equipment, increased to 11% for the fourth quarter and 7% for the full year due to strong volume growth and solid end market demand. In the fourth quarter, the strong agronomic sales growth was driven by the sales of ice melt products, which benefited from an increase in snow events during the quarter compared to a low number of events in the prior year period. While snow events are good for sales of ice melt, they generally have a negative effect on overall organic growth. Organic Daily Sales for landscaping products, which includes irrigation, nursery, hardscapes, outdoor lighting and landscape accessories, decreased 1% for the fourth quarter and 1% for the full year due to softer demand in the new residential construction and repair and upgrade end markets. Geographically, 7 of our 9 regions achieved positive Organic Daily Sales growth in the fourth quarter. We achieved solid growth in our Midwest markets due to the strong sales of agronomic products, but continue to see pressure in markets like Texas and California that have been affected by softness in new construction demand. Acquisition sales, which reflects sales attributable to acquisitions completed in 2024 and 2025, contributed $12 million or 1% to net sales growth in the fourth quarter. For the 2025 fiscal year, acquisition sales contributed $111 million or 2% to net sales growth. Scott will provide more details regarding our acquisition strategy later in the call. Gross profit for the fourth quarter was $357 million, which was an increase of 6% compared to the prior year period. Gross margin for the fourth quarter increased 80 basis points to 34.1%. For the 2025 fiscal year, gross profit increased 5% and gross margin increased 40 basis points to 34.8%. The increase in gross margin for the fourth quarter and full year reflects improved price realization, benefits from our commercial initiatives and a positive contribution from acquisitions, partially offset by higher freight and logistics costs. During the year, we added a fifth distribution center near Milwaukee, Wisconsin, and we increased international sourcing to support the growth of private label products. Selling, general and administrative expenses, or SG&A, increased less than 1% to $366 million for the fourth quarter. SG&A as a percentage of net sales decreased 100 basis points in the quarter to 35%. As discussed during last quarter's earnings call, we consolidated and closed 20 branch locations in the fourth quarter, which negatively impacted SG&A by $6 million, of which $4.5 million is reflected in adjusted EBITDA. In the fourth quarter of 2024, we took similar actions to consolidate and close 22 locations, which negatively affected SG&A by $16 million, of which $4.5 million was included in our adjusted EBITDA results. These actions reflect our continued efforts to optimize our branch footprint and lower our cost structure to match the current environment. As a reminder, in most cases with our consolidations and closures, we typically can serve customers from other branches in the same market, and therefore, we expect to retain most of the sales. For the quarter, base business SG&A as a percentage of net sales was roughly flat, reflecting our ongoing operating cost management actions, which helped offset higher incentive compensation expense. For the full year, SG&A increased 2% to $1.4 billion and SG&A as a percentage of net sales decreased 40 basis points to 30.1%. Base business SG&A as a percentage of net sales decreased 50 basis points for 2025 compared to the prior year. This improvement reflects our continued efforts to increase productivity and better align our operating costs with the current market demand. Our effective tax rate for fiscal 2025 was 22.5% compared to 22.4% for fiscal 2024. The small increase in the effective tax rate was due primarily to a decrease in the amount of excess tax benefits from stock-based compensation. Excess tax benefits of $3.8 million were recognized for the 2025 fiscal year as compared to $3.3 million for the prior year. We expect the effective tax rate for fiscal 2026 will be between 25% and 26%, excluding discrete items such as excess tax benefits. Net loss attributable to SiteOne was $9 million for the fourth quarter compared to a net loss of $21.7 million for the prior year period. Net income attributable to SiteOne for fiscal 2025 increased to $151.8 million compared to $123.6 million for fiscal 2024. The improvement in both the fourth quarter and full year was primarily due to higher net sales, improved gross margin and the achievement of SG&A leverage. Our weighted average diluted share count was 45.1 million for the 2025 fiscal year compared to $45.6 million for the 2024 fiscal year. We repurchased 322,000 shares for $40 million in the fourth quarter and 817,000 shares for $97.7 million at an average price of $119.62 per share for the full year. Adjusted EBITDA increased 18% to $37.6 million for the fourth quarter compared to $31.8 million for the prior year period. Adjusted EBITDA margin expanded 50 basis points to 3.6%. For the full year, adjusted EBITDA increased approximately 10% to $414.2 million compared to $378.2 million for the 2024 fiscal year. Adjusted EBITDA margin improved 50 basis points to 8.8% for the 2025 fiscal year. Adjusted EBITDA includes adjusted EBITDA attributable to noncontrolling interest of $1.1 million and $4.2 million for the fourth quarter and full year, respectively. Now I'd like to provide a brief update on our balance sheet and cash flow statement as shown on Slide 11. Working capital at the end of the 2025 fiscal year was $1.01 billion compared to $909 million at the end of the prior year. The increase in working capital is primarily due to higher cash on hand and strategic purchases of inventory to support our growth. Cash provided by operating activities increased to $165 million for the fourth quarter compared to $119 million for the prior year period. The increase in cash flows from operating activities for the fourth quarter reflects higher net income and improved working capital management. Cash provided by operating activities for the full year was $301 million compared to $283 million for the prior year. The increase in cash flow from operating activities in the 2025 fiscal year was primarily due to the improvement in net income. We made cash investments of $30 million for the fourth quarter compared to $37 million for the same period in 2024. We made cash investments of $83 million in the 2025 fiscal year compared to $177 million in the prior year. The decrease in both fourth quarter and full year is attributable to lower investments in acquisitions. Capital expenditures for the quarter were $15 million compared to $10 million for the prior year period. Capital expenditures for the 2025 fiscal year were $54 million compared to $41 million for the 2024 fiscal year. The increase in capital expenditures for both the fourth quarter and full year reflects increased investments in our branch locations. Net debt at the end of the 2025 fiscal year was $330 million compared to $412 million at the end of the prior year. Leverage decreased to 0.8x our trailing 12 months adjusted EBITDA compared to 1.1x at the end of the prior year. We had available liquidity of $768 million, which consisted of $191 million of cash on hand and $578 million in available capacity under our ABL facility at the end of the 2025 fiscal year. On Slide 12, we highlight our balanced approach to capital allocation. Our primary goal regarding capital allocation is to invest in our business, including the execution of our acquisition strategy. We're also committed to maintaining a conservative balance sheet as demonstrated by our leverage ratio. The extent we have excess capital after achieving these objectives, the share repurchase authorization provides us with a mechanism to return capital to our shareholders. In the 2025 fiscal year, we executed our capital allocation strategy, investing $93 million in CapEx and acquisitions and conservatively maintaining leverage at 0.8x net debt to adjusted EBITDA, which allowed us to complete share repurchases of approximately $98 million. I will now turn the call over to Scott for an update on our acquisition strategy.
Scott Salmon: Thanks, Eric. As shown on Slide 13, we acquired 3 companies in the fourth quarter, bringing our total for the year to 8 or combined trailing 12-month net sales of approximately $55 million in 2025. Additionally, we have acquired 1 company in 2026. Since 2014, we have acquired 107 companies with approximately $2.1 billion in trailing 12-month net sales added to SiteOne. Turning to Slides 14 to 17, you will find information on our most recent acquisitions. On October 1, we acquired Red's Home & Garden, a wholesale distributor of nursery and hardscape products in Wilkesboro in North Carolina. The addition of Red's Home & Garden provides a strategic entry into North Carolina's Appalachian market, allowing us to offer all of our product lines in a new market. On November 13, we acquired CC Landscaping Warehouse, a wholesale distributor of nursery products, bulk materials and landscape supplies in Bradenton, Florida. The addition of CC Landscaping expands SiteOne's product offering in this fast-growing Florida market. On November 20, we acquired French Broad Stone Yards, a 2-location wholesale distributor of hardscape products in Arden and Brevard, North Carolina. This acquisition expands our hardscapes presence in the North Carolina Mountain region. Finally, on January 13, we completed our first acquisition of 2026, adding Bourget Flagstone Company, a division of Bourget Bros. Building Materials and a wholesale distributor of hardscape products with one location in Santa Monica, California. Summarizing on Slide 18, our acquisition strategy continues to create significant value for SiteOne by adding excellent talent and moving us forward toward our goal of providing a full line of landscape products and services to our customers in all major U.S. and Canadian markets. As we've discussed, the high-performing companies we acquired in 2025 were smaller than our historical average. As Doug had mentioned, given our active discussions, we would expect the average deal size to be more typical in 2026. Overall, with our strong balance sheet and a robust pipeline, we remain confident in our ability to continue adding outstanding companies to SiteOne for years to come. I want to thank the entire SiteOne team for their passion and commitment to making SiteOne a great place to work and for welcoming the newly acquired teams when they joined the SiteOne family. I will now turn the call back to Doug.
Doug Black: Thanks, Scott. I'll wrap up on Slide 19. As we move into 2026, there continues to be uncertainty with interest rates, consumer confidence and the overall economy, which could affect our end markets. On the positive side, we are expecting pricing to increase in 2026 for the first time since 2022, which will support higher Organic Daily Sales growth. In terms of end markets, we expect new residential construction, which comprises 20% of our sales to be down in 2026. Continued elevated interest rates, lower consumer confidence and high home values are constraining demand. This market was down in 2025 and with continued weakness in housing starts, we are expecting it to drop further in 2026. New commercial construction, which represents 14% of our sales, was solid in 2025, and we believe it will remain flat in 2026. Bidding activity from our project services teams continues to be slightly positive compared to the prior year, which is a good indicator of continued demand. While the ABI index is showing weakness, our customer backlogs remain solid, and we believe the commercial market will remain resilient for the full year. We believe the repair and upgrade market, which represents 30% of our sales, was down in 2025, but seem to have stabilized during the second half. Existing home sales continue to be soft, and there is a high degree of uncertainty associated with repair and upgrade. However, the long-term fundamentals for this end market continue to be strong. We estimate that repair and upgrade demand will be flat in 2026. Lastly, in the maintenance end market, which represents 36% of our sales, we achieved excellent sales volume growth in 2025 as our teams gained profitable market share on top of the steady demand growth. We expect the maintenance end market to continue growing steadily in 2026. In total, we expect end market demand to be flat with growth in maintenance offsetting a decline in new residential construction. Given this backdrop and with the benefit of our commercial initiatives, we expect to achieve positive sales volume growth, which when coupled with positive pricing is expected to yield low single-digit Organic Daily Sales growth for the full year 2026. We expect gross margin in 2026 to be higher than 2025, driven by our commercial initiatives and the contribution from acquisitions, partially offset by higher freight and logistics costs supporting our growth. With our continued strong actions to improve our productivity and by continuing to address our focus branches, we expect to achieve operating leverage in 2026, yielding solid improvement in our adjusted EBITDA margin. In terms of acquisitions, as Scott mentioned, we have a good pipeline of high-quality targets, and we expect to add more excellent companies to the SiteOne family throughout 2026. Lastly, as Eric mentioned, we have an extra week in 2026. Unfortunately, this extra week occurs in fiscal December during a very slow sales period, which is a traditionally loss-making period for SiteOne. As a result, we expect the extra week will reduce our adjusted EBITDA by $4 million to $5 million. With all these factors in mind and including the negative effect of the 53rd week, we expect our full year adjusted EBITDA for fiscal 2026 to be in the range of $425 million to $455 million. This range does not factor in any contribution from unannounced acquisitions. In closing, I would like to sincerely thank all our SiteOne associates who continue to amaze me with their passion, commitment, teamwork and selfless service. We have a tremendous team and it is an honor to be joined with them as we deliver increasing value for all our stakeholders. I would also like to thank our suppliers for supporting us so strongly and our customers for allowing us to be their partner. Operator, please open the line for questions.
Operator: [Operator Instructions] Our first question comes from David Manthey with Baird.
David Manthey: First question here I say, more of a statement. I mean we're in the shoulder season, obviously, but really encouraging results. So that's great to see. But focusing on the year that we just closed up, by my calculations, I think you did over 20% EBITDA contribution margins on just 1% organic growth in 2025. And if I look at the guidance you've given for EBITDA and low single-digit organic growth, I think that implies something in the mid- to high teens, maybe even higher than that in 2026 again. So first question is just, is that your intent? And then I have a follow-up.
Doug Black: Yes. I think those are the kind of the basic numbers, and we're able to get that, obviously, because we're improving our gross margin. At the same time, we're getting SG&A leverage. And we -- as you know, we have the focus branches that we're able to improve. And so that gives us more than, say, a typical drop down to the bottom line on pretty modest sales. And we expect that to be the case in '26 as well as '25. Eventually, that will play itself out. But for now, we can get pretty outsized delivery on low sales because of the focus branch improvement and the other initiatives that we've got that kind of combined together to give us that pretty robust profit improvement.
David Manthey: You almost answered my follow-up question, but let me just drill in a little bit more on that. So the factors that had depressed margin previously at the trough were weak market demand, negative pricing. We had this Pioneer overhang, structural investments you made in the business and distribution centers and technology, and that was offset by the cost reduction efforts that you mentioned. And maybe as it relates to those specific efforts, clearly, some of those are in the rearview mirror and no longer apply. But as you look at 2026, which are the key levers as we go forward? And then is there anything else from a cost standpoint that we need to think about that will be an offset in '26? Just any sort of investment or anything else we should be watching for?
Doug Black: Yes, I mean you pretty much hit the list, and that's why we're excited as we look forward, Pioneers delivered significant improved profitability in '25, we expect that to continue in '26. Deflation, which has been hampering us for several years, is largely behind us. And the investments that we've made during those periods, even when things were tougher are starting to pay off and we're getting to harvest those. So a good outlook, I guess, going forward. The one headwind, we do have a headwind. We mentioned we put in the fifth DC. We put that in the fourth quarter. We're also expanding another one of our DCs. When we do that initially, it tends to be dilutive, a couple of million dollars in the fourth quarter. It will be another $8 million next year as a headwind that will offset some of the gross margin improvement, but we'll still see solid gross margin improvement on top of that. Last year, we had a bonus headwind with very little bonus in '24. We paid higher bonuses in '25 on better performance. So it kind of -- if you will replace that headwind in '26. But that would be the one thing that's kind of -- that would still be going against us.
Operator: Our next question comes from Ryan Merkel with William Blair.
Ryan Merkel: I wanted to start with the first quarter outlook, if I could. Are you expecting low single-digit organic growth here in 1Q? And can you comment on how the start of the year has gone?
Doug Black: Yes. I mean we would expect our growth to be fairly balanced through the year. Pricing will be a bit stronger in the first half just because of the way the tariff pricing hit kind of in May-ish -- April, May of last year and the way the deflation of the commodity products has come off, we'll probably have stronger pricing in the first half than the second half. But overall, let's call it, Organic Sales volume should be fairly spread out through the year. The start of the year has been very reasonable. We had a good January. February has been somewhat weather affected, but we're not seeing anything that doesn't line up with our guidance or outlook for 2026.
Ryan Merkel: Okay. That's great to hear. And then for my follow-up, guiding '26 organic to low single digits to flat market, price of 2%. So what I noticed is it doesn't include a lot for share gains. So how are you thinking about share gains in '26? And then maybe speak generally to competition, if it's still rational or if you're seeing people get a little more competitive here?
Doug Black: Yes. No, great question. Yes, we're confident that we can continue to gain market share. We're obviously very cautious on the market itself. We're calling it flat, but we do expect to gain market share. And so we probably put some cushion in there. If the market ends up holding up, we should do well on a volume basis. We're very pleased with the 1% volume increase that we got last year when the market was down. So that looks optimistic. In terms of competition, it's the same, right? I mean, our very competitive market. We have different competitors. Some are more competitive than others. They're all kind of behaving the same. We're very good at battling it out for the large customers. We're taking share kind of with the small, mid-customers where the competition is less or tends to be less. And so that's kind of our strategy. But competitive environment is very similar, but it is a very -- it's a competitive market.
Operator: Our next question comes from Jeffrey Stevenson with Loop Capital Markets.
Jeffrey Stevenson: How should we think about the expected operating leverage benefits in 2026 from your internal initiatives, focus on improving underperformer branches? And then could there be additional opportunities to close or consolidate branches in addition to the 20 you did in the fourth quarter?
Eric Elema: Yes. Thanks, Jeff. I think focus branches will continue to contribute. We're expecting kind of a similar contribution to '26 as we delivered in '25. I think closures at this point, we're not expecting to do something that we have done in the last 2 fourth quarters. We'll continue to assess those opportunities, but it's part of our typical process to close branches and consolidate when leases come up. So we're not planning anything significant at this point. But in terms of other SG&A items, we do expect to drive productivity improvements on top of just the closures, cost management, our delivery programs, multiyear journey, we expect that to contribute again. So we are facing -- we do have inflation not only in wages, but overall across our SG&A. So we do believe that our initiatives will overcome that and we'll achieve leverage. That's our plans in '26.
Jeffrey Stevenson: Okay. Great. That's helpful. And private label growth has been a standout this year, increasing to 15% of sales. And it sounds like you have a long runway of opportunities in your core private label brands. Just -- is there a long-term target of what percentage private label sales could grow to over the coming years?
Doug Black: Yes. I mean we would think that 25%, 30% private label in the long term would be very doable. It will take us time to get there. We kind of have a goal of adding 100 basis points in our total sales mix a year, and we achieved that goal this year. We've got some terrific programs for private label products for '26. So we feel like it will be a steady, very long-term march, but quite powerful over that period in terms of margin improvement.
Operator: Our next question comes from Collin Verron with Deutsche Bank.
Collin Verron: I just wanted to start on maintenance. It's really showing steadiness in this uneven macro backdrop. So I was just curious, can you quantify the organic maintenance sales growth you saw in 2025 and sort of what your expectations are in terms of magnitude for 2026? And then I guess, just the offset here on the new resi side, just any sense of order of magnitude for the declines that you're expecting there?
Eric Elema: Yes. Our organic growth for the products we sell into maintenance. So agronomics growth for the year was 7%, and that was all volume. Pricing came in flat for the full year. And in the fourth quarter, it was 11% on 9% volume with 2% price. So we feel like we're performing very well, taking share, penetrating adjacent markets and driving a lot of improvements in our balanced mix of products.
Doug Black: We think the base market demand is probably 2% to 3% a year in maintenance. It's 36% of our business. So that's a nice kind of powerful force. New res is 20% of our business. So it does allow us to kind of counterbalance that weakness. But coming in at 7% volume, we have been gaining market share in maintenance, and we think we can continue. We've been gaining market share there probably for the last 2 or 3 years and have great capabilities there. So...
Collin Verron: Great. That's helpful color. And I guess just pivoting to gross margin. I mean it was a really strong quarter in the fourth quarter, and I think it was slightly better than sort of the expectations coming out of the third quarter. So maybe can you compare sort of what transpired in the fourth quarter to what you were thinking in the third quarter and some of the puts and takes there and maybe how those will continue into 2026?
Eric Elema: Yes. So if you think about price, we had guided 1% to 2%. We ended up on the high end of that with the 2%. So it was a better contribution on price, price realization. Vendor support, we were conservative there and things came in a little better. That can move around at the end of a seasonal quarter, not necessarily tied to sales. It's more purchasing volumes related. And then freight impacts, which there's been some partial offsets there. That wasn't as bad as we anticipated. And acquisitions -- contribution came in a little higher on the gross margin side. So overall, it was better than we expected. We entered the year on the high end of the pricing guide here for '26. So we think that will be beneficial for price realization in the first quarter and first half of '26.
Operator: Our next question comes from Mike Dahl with RBC Capital Markets.
Michael Dahl: First one on just the Organic Daily Sales outlook. I know that with these branch closures, you typically expect to retain most of the sales. But given you've had two -- at least two larger iterations of this now, I don't know if that may or may not be different than normal, but do you have any kind of stats that are showing you so far maybe percentage-wise of what percentage of sales you're retaining and how that's influencing your -- if at all, your daily sales guide? And similarly, if we should think about that extra week in December as negatively impacting your daily sales guide?
Doug Black: Yes. In terms of the closures, we typically retain 75%, 80% of the sale. I mean that has been our history. And so we would expect something similar. It is baked into our guide. So that's a bit of a headwind that obviously, we can overcome with share gains. And then I'll pass it to Eric for the effect of that 53rd week.
Eric Elema: Yes. The 53rd week, obviously, it's an extra week of sales, but it's a very slow week. I think right after Christmas, wrap around New Year. So the four extra selling days is seasonally very slow. On the organic daily basis, it's about 100 basis negative drag on organic growth.
Michael Dahl: For the -- and Eric, that's for the year or for the quarter, it equates to 100 basis points negative drag on?
Eric Elema: Yes, that's the full year, that number.
Michael Dahl: Okay. Yes, that makes sense. That's what I kind of figured. Okay. And then just pivoting to the margin side. You're not giving exact guides for SG&A and gross margin per usual, but you expect improvement in both. Can you give us a sense of whether it's more heavily geared towards one versus the other?
Doug Black: It's pretty balanced across the two as it was in 2025. So we feel like we're driving initiatives on both sides, and it would be pretty balanced in the contribution of each.
Operator: Our next question comes from Matthew Bouley with Barclays.
Elaine Ku: You have Elaine Ku on for Matt Bouley today. I wanted to follow up on private label. So within that, like what categories are you seeing the most opportunity to expand within? And can you walk us through maybe some of the margin differentials there for your business?
Doug Black: I mean the categories are -- we have private -- strong private label and agronomics being with the LESCO brand with, Pro-Trade that would be lighting and other landscape supplies like synthetic turf, erosion control and fittings, et cetera. And then we have a strong private label brand, Solstice Stone and hardscapes. And so that's high-end veneers and flooring, decking, et cetera. And then finally, portfolio is our nursery private label, which is growing quite rapidly. So that gives you the full breadth of our private label brands. The differential, I would just say, is significant. It makes a difference. And when we move the percentage of private label as a percent of total sales, it makes a material impact on our gross margin.
Elaine Ku: Got it. And can you also touch on what you're seeing in terms of price increase announcements so far into like early 1Q? How has price realization tracked so far? And is there any difference between like finished goods and commodity pricing?
Eric Elema: Yes. So price realization, I would say it's early, but it's tracking how we exited. Price increases so far in the quarter, it's early. Largest suppliers is -- I guess we had 1 signal low-single digit. So nothing significant so far in the quarter.
Doug Black: And commodities?
Eric Elema: Yes, commodities, sorry. Commodities, so we exited the year, the two that had been deflationary or have been deflationary, grass seed was down 12% and PVC down 10%. As we enter this first half of the year, grass seed will stay in that range, kind of 10% to 15% reprices in June. We'll see -- we believe we're at a bottom there. We're down to 2013 pricing levels. So we don't believe that we're going to go down any further after the first half of the year. And then PVC is kind of flattish right now in the environment. We're kind of monitoring. We haven't seen any price increases or any significant decreases at this point. So commodities right now, we believe we're exiting that deflationary impact on the business. And then across the rest of the cost basket, more 90% were in positive price territory and tariff-affected products where price increases went in, in the second quarter in '25, those have remained in the positive pricing territory.
Operator: Our next question comes from Andrew Carter with Stifel.
W. Andrew Carter: Regarding the digital growth that you cited, where is digital penetration today across the platform? And is it significantly different by market to where there's a test case to show where this can be? Or is it pretty even at this point?
Doug Black: It's pretty broad spread across products now and across geographics. We're very pleased. We're up 120% or over 120% versus last year. We expect that to be a double-digit penetration for total sales this year. We've got -- our regular users of siteone.com are up 60%. There were about 10,000 regular users in 2025. So yes, we're very pleased at how digital is ramping up and becoming a very meaningful part of SiteOne.
W. Andrew Carter: And regarding kind of the end market guidance that you gave, new construction to be down -- how much in your guidance is factored in, how deep the declines could go that you could manage and still stay within your guidance? And remind us, I think you're 6 months out from new construction, census is delayed, but -- so that still gives you until April. So any help and clarity on that key market?
Doug Black: Yes. I mean it's hard to say, right? There's a lot of uncertainty with new res, but I would kind of -- we're looking at maintenance as a balance and maintenance is 36% of our business. New res is 20%. Maintenance demand will be up 2% to 3%. So new res could be down more than that. And obviously, it balances, right? And so that gives you the math of how we're thinking about, how things will play out. And we stand ready for -- if the market is worse than that, then we feel like our share gains can also help balance that. We're gaining strength there. But we'll see what we get. 2025 was -- we feel a down market where new res and repair and remodel were both down, and we were able to kind of drive out a 1% volume growth. So we're still optimistic even though we feel that the new res market is likely to be soft and down materially.
Operator: Our next question comes from Charles Perron-Piche with Goldman Sachs.
Charles Perron-Piché: First, I'd like to touch on the M&A pipeline. What gives you the confidence in the normalization in activity this year? And should activity remain soft, how would you consider other capital allocation priorities given the strength of the balance sheet?
Scott Salmon: Yes. Thanks, Charles. I would say, obviously, the M&A activity in the year varies significantly. But our long-term average is that the average size is $15 million to $20 million in revenue. And just to show the variability in '23 and '24, our average revenue was over $25 million per company. And this year, as you saw, it was well under $10 million. What gives us confidence is that our active discussions this year would lead us to believe that we'd be in a more typical range. So it's just our experience and our ongoing discussions. And then in terms of -- if it is a light year area.
Eric Elema: Yes. We would be -- we would redeploy capital to return cash to the shareholders. So we would fill in any space there.
Charles Perron-Piché: Got it. Okay. That's helpful. And then just touching on the fifth distribution center that opened up in Q4, understanding the cost that will come through it in the near term, but can you talk about the expected benefit that you're going to be able to generate from this and the improvement of service associated with that?
Doug Black: Right. So yes, the fifth DC is in Wisconsin. So it fills in the Midwest part of our business. It will probably support 100 to 150 branches. And obviously, longer term, that will drive down our total -- delivered cost of goods sold and improve our margins. It is dilutive when we do it initially, but it improves the margins. But it also improves our stocking and our ability to service our customers with tremendous service at lower overall inventory levels, right, because we get the inventory efficiency there. So adding the fifth DC will help us continue to lower our overall network cost over time. It will allow us to streamline our inventory turns and increase our inventory turns. But in the short term, it's dilutive in the year where you put it in and ramp yourself up.
Eric Elema: And I'd also add that it helps us continue to accelerate our private label strategy. So it gives us just another driver there to achieve our objectives.
Operator: Our next question comes from Shaun Calnan with Bank of America.
Shaun Calnan: Just a follow-up on the M&A activity question. Do you have a target for the amount of capital you want to deploy this year or a target for the leverage ratio outside of the long-term number, just so we could kind of think about total M&A and share repurchases together since you're below the low end of your target at this point?
Doug Black: Yes, I think the target is 1 to 2 on leverage and so we would maintain that target. And -- so we'll see how the year develops in terms of M&A. M&A tends to average toward a mean. And so with last year being a lighter year and given the discussions that Scott mentioned, we feel like this is going to be a stronger year. And that's our first priority, right? Invest in the business, value-added acquisitions that help us build our company. And then we do have strong cash flows. We expect them to continue to be strong. If we have capital that we feel is in excess, staying within our target, we'll look at share repurchases opportunistically through the year as well.
Shaun Calnan: Okay. Great. And then the macro backdrop for large discretionary spend seems to remain challenged right now, but you guys are guiding for repair and upgrade to be relatively flat this year. What gives you the confidence that it will remain stable? And then what are you hearing in terms of backlogs on the repair and upgrade side?
Doug Black: Yes, it's a great question. I mean we would say that flat is our best estimate. There certainly is some uncertainty around there in terms of the market. What we're seeing in the market is that the very high end of remodel continues to be strong. Big backyard projects where folks aren't borrowing the money, they can pay with cash, et cetera. So that continues to be strong. What became very weak was that middle income, smaller projects that would have to be funded through either an equity loan or some type of interest rate device. And so we -- that has been weak. As we mentioned, the remodel market was down, we believe, in 2025. We've seen some stabilization in our own numbers. Hardscapes products, lighting products that tend to be remodel-driven would have been less down as the year progressed through. And so we take that as a sign that the market is kind of bottoming out. Certainly, that could be a wrong progression, but that's what we're seeing. The backlog -- our customers, they have decent backlogs. They're way smaller than they were in the post-COVID and some of the heyday, but it seems like they've got reasonable backlogs to be able to deliver on a flat year. So what we're seeing now. Obviously, there's some uncertainty there, but we -- it gives us greater confidence that maybe we're hitting the bottom and that this year could be flat.
Operator: We have reached the end of our question-and-answer session now as there are no further questions at this time. I would now like to turn the floor back over to Doug Black for closing comments.
Doug Black: Okay. Well, thank you all for joining us today. We appreciate your interest in SiteOne, and we look forward to speaking to you again at the end of next quarter. Again, a big thank you to all our terrific associates for all they do, our suppliers and our customers. And we will talk to you next quarter. Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.